Operator: Thank you for your continued patience. Your meeting will begin shortly. A member of our team will be happy to help you. Please stand by. Your program is about to begin. Welcome to the Cellebrite DI Ltd. Third Quarter 2025 Financial Results Conference Call. At this time, all participants have been placed on a listen-only mode. If you would like to ask a question at that time, please press star 1 on your telephone keypad. If at any point your question has been answered, you may remove yourself from the queue by pressing star 2. So others can hear your questions clearly, we ask that you pick up your handset for best sound quality. Lastly, if you should require operator assistance, please press star 0. I would now like to turn the call over to your first speaker today, Mr. Andrew Kramer. Mr. Kramer, the floor is yours.
Andrew Kramer: Thank you so much, operator. Welcome everybody to Cellebrite DI Ltd.'s third quarter 2025 financial results call. I'm joined today by Thomas E. Hogan, Cellebrite DI Ltd.'s CEO, David Barter, Cellebrite DI Ltd.'s CFO, and Marcus Jewell, our CRO. This call is being recorded, and a replay of the recording will be made available on our website shortly after the call along with a copy of our prepared remarks. Please note, a copy of today's press release and financial statements, including GAAP to non-GAAP reconciliations, is available on the Investor Relations website at investors.cellebrite.com. In addition to the press release, we posted a separate investor presentation that provides an overview of our business and our recent financial performance. I'd like to also remind everybody that the slides in your webcast viewer are placeholders only. There are no actual slides to accompany our prepared remarks. We also publish supplemental historical financial information for each quarter of 2025 and for the past two years on our Investor Relations website. Additionally, unless stated otherwise, our discussions of the third quarter 2025 financial metrics as well as the financial metrics provided in our outlook will be done on a non-GAAP basis only and all historical comparisons are with 2024. In addition, I'd like to remind you that today's discussion will contain forward-looking statements including, but not limited to, the company's business operations and financial performance. All forward-looking statements are subject to risks and uncertainties and other factors that could cause matters expressed or implied by those forward-looking statements not to occur. They could also cause the actual results to differ materially from historical results and/or from forecasts. Some of these forward-looking statements are discussed under the heading Risk Factors and elsewhere in the company's annual report on Form 20-F filed with the SEC on March 18, 2025. The company does not undertake to update any forward-looking statements to reflect future events or circumstances. And with that being said, I'll now turn the call over to Tom.
Thomas E. Hogan: Thanks, Andy, and thanks to all of you for joining us this afternoon. I'll be a bit briefer this quarter than I was last quarter, but I want to start by thanking the many of you that reached out with kindness and support after our last quarter's call. I'm pleased to share that not only do I remain cancer-free, I've resumed my mountaineering passion and climbed a significant peak last month. And the doctors tell me that I should plan to die of a heart attack in my late eighties, which I guess is a good thing, but gives me lots of runway to help propel this important company. Let's go. First, I'm proud of the job the team at Cellebrite DI Ltd. delivered in the third quarter. Our results were both solid and balanced. ARR grew 19% over the twelve-month period, Subscription revenue grew 21%, led by strong performance in our US state and local segment, and our Latin America region. Adjusted EBITDA exceeded expectations growing 20% year on year with margin expansion of 60 basis points. We continue to tune our business to optimize top-line growth while driving increased scale in operating efficiency to deliver meaningful levels of profitability and a very healthy free cash flow. Good companies grow, good companies expand margins, great companies do both, which is exactly what we did. We were also pleased with our third-quarter performance in the U.S. Federal segment. As we foreshadowed in our last call, we do not expect a full return to normalized growth until calendar 2026 but we did deliver year-to-year growth in the quarter which included the expansion of several marquee clients and confirmation of our view that growth in this sector will resume as budgets are fully distributed. I think it's fair to say the flywheel in US federal has begun to move. I want to highlight some important metrics and milestones that contributed to the quarter and positioned Cellebrite DI Ltd. for continued growth and leadership. First, we finished Q3 with approximately 47% of our installed digital forensics license base converted to our insights offering. As a refresh for everyone, we set a target for 2025 of 50% conversions, from a 2024 baseline of 20%. Our year-to-date progress clearly positions us to meet or exceed that target and importantly, it's a strong proxy for the value of the industry's most complete suite of digital forensics. Second, we continue to see more customers turn to Cellebrite DI Ltd.'s cloud and SaaS offerings to efficiently and securely manage their digital forensics and investigative workflows. ARR for our SaaS and cloud-based solutions grew three times faster than total ARR. Guardian is rapidly emerging as the industry standard for the storage, and collaboration of sensitive evidential artifacts. The number of Cellebrite DI Ltd. customers using Guardian more than doubled year over year while ARR grew triple digits and 100% plus for the fifth consecutive quarter. And this is all before we launched Guardian Investigate in the first quarter of next year. Third, our strategic focus on the global defense and intelligence sector is starting to pay dividends. In the third quarter, we continued to expand our business in the D and I sector as multiple global intelligence and military agencies increased their Cellebrite DI Ltd. investment to support high-priority use cases across anti-terrorism, border control, and overall military responsiveness and readiness. In particular, I'd highlight our DNI expansion in Europe over the past several quarters as an early proof point validating our intensified go-to-market focus. As we look ahead, we're centered on four core growth vectors. First, we're focused on asserting our leadership and breadth in providing unlock and access solutions across the wide range of OEM phone providers and operating systems. Our unlock offerings are now attached to more than 45% of the Insights and legacy forensics installed base, reflecting healthy quarterly expansion and sustained demand for this critical capability. Last quarter, we highlighted our clear leadership on Android phones. We extended that leadership this quarter, with the addition of industry-first capabilities, and even broader coverage across the Android universe. As we finished 2025, we are equally excited about our leadership opportunity in iOS, with pending and added enhancements. We believe the choice will be clear for any customer looking for unlock strength across multiple platforms combined with industry-leading capabilities for extraction, decryption, and decoding. Second, we are accelerating innovation in AI, and digital investigations with the upcoming launch of Guardian Investigate. This new SaaS AI-powered solution is designed to transform the entire investigation life cycle. Enabling investigative teams to build stronger case narratives, collaborate seamlessly in a secure, unified workspace, and drive AI-enabled insights and analytics and workflow across a diverse set of data sources including smartphones, computers, call detail records, open source intelligence, and case files. Guardian Investigate will launch in early 2026, and we couldn't be more excited. Guardian Investigate is the logical extension of our twenty-year history of leadership in forensics. We are well positioned to empower hundreds of thousands of investigators, detectives, analysts, and prosecutors in their mission of prevention, exoneration, and prosecution. Third, we expect a resurgence of growth in calendar 2026 across the US federal sector. After navigating spending headwinds, and leadership changes, throughout the first half this segment returned to growth in the third quarter. We remain cautious on the federal fourth quarter given normal government seasonality, combined with the shutdown the past six weeks, but we view both as transitory and believe the strategic spending we enjoyed in our third quarter are harbingers of a strong rebound in 2026. Our conviction in this segment is grounded in three areas. First, the release of targeted funding combined with pent-up 2025 demand should elevate investments in our unlock and insights solutions. Second, achieving FedRAMP authorization to operate with DOJ sponsorship, in early 2026. Should unlock a large opportunity for us to leverage our Guardian offerings across US federal agencies. And third, assuming Keryllium is closed by year-end, this asset has tremendous product fit across the US federal space. Our final growth vector is the pending close of Keryllium, which we believe will expand both our TAM and our value proposition particularly across global defense and intelligence agencies and the private sector. Keryllium's arm-based virtualization software is already enabling some of the world's most sophisticated DNI agencies to harden their cyber defenses by more efficiently and effectively identifying vulnerabilities across a broad range of digital devices. What has us super excited is the consistent surfacing of new and powerful use cases across both the private and the public sector. We're addressing CFIUS requirements real-time and expect to complete our purchase of Keryllium later this quarter. And as a reminder, our current results and guidance do not contemplate Keryllium results or performance. As we step back and consider the big picture, the macros remain strong. Crime and geopolitical risk is not going away unfortunately. The application and sophistication of technology in the pursuit of crime grows weekly, and budgets for labor to protect public safety remain constrained at best. The deployment of advanced technologies like Cellebrite DI Ltd. remain the best path to make our nations, our communities, and our businesses safer. We're focused on sprinting through the tape, over the next six weeks but we couldn't be more enthusiastic about 2026 with the confluence of the release of several new value-generating assets between the fourth quarter of this year and 2026. We'll reserve 2026 guidance for our February call and plan to remain prudent when it comes to setting expectations. Nevertheless, our confidence in the reacceleration of our top-line growth in 2026 builds every week along with our commitment to continued stewardship with respect to spending margins, and free cash flow. That ongoing discipline not only delivered a third-quarter beat on the bottom line, but also triggered a raise on our full-year 2025 EBITDA target. Dave will talk more about this in just a minute. Finally, I want to sincerely thank the roughly 1,250 strong Cellebrite DI Ltd. operatives, which are our people. And our customers who place huge trust in us every day. It's an honor and a privilege to serve all of you. I was excited about the prospects and the mission of this company when I joined as an executive chairman in 2023. I can tell you with absolute conviction I am more enthused about our future today than when I joined two and a half years ago. I believe the best is yet to come, we continue to innovate internally and tap much further and deeper into the enormous power and potential of AI complemented by disciplined and targeted acquisitions, and strategic partnerships. We're confident the combination of strong execution with a growing and mission-critical TAM will drive material value creation for our customers, our employees, and our shareholders. With that, I'll turn it over to Dave.
David Barter: Thank you, Tom. I'd like to briefly share highlights from the third quarter. ARR grew 19% to $440 million. Sequentially, ARR increased 5% which is a healthy improvement from our sequential ARR growth rates in Q1 and Q2. The year-over-year increase reflects increased spending by our existing customers. The Americas represented 55% of total ARR, while EMEA represented 33%. And Asia Pacific represented 12%. In terms of growth rates by geography, The Americas grew 21% with our U.S. State and local government and Latin America teams leading the way. Turning to revenue. We generated third-quarter revenue of $126 million which increased 18% from the prior year due to primarily subscription revenue growth of 21%. Approximately 89% of total revenue was associated with our subscription-based software solutions. Our gross profit increased to $106.5 million represents a gross margin of 84.5%. This reflects ongoing investment in our cloud infrastructure, as we continue to roll out Guardian, and invest in the federal ATO process. Third-quarter adjusted EBITDA of $37.7 million increased 20% over the prior year and the margin expanded to 29.9%. Our third-quarter operating leverage reflects thoughtful capital allocation across our organization. Including disciplined hiring activity in the quarter. Ended the third quarter with 1,236 employees. We reported third-quarter net income of $36.9 million or $0.14 on a fully diluted basis. Overall, our weighted average diluted shares outstanding increased by a little more than 1% from the second quarter levels. We continue to thoughtfully manage our equity incentive programs in ways that we believe will be minimally dilutive on a go-forward basis. Turning to the balance sheet. We ended September with $595 million of cash, cash equivalents, and investments. Free cash flow for the third quarter was $30 million. For the trailing twelve months, free cash flow was $140 million or 31% on a margin basis. Compared with $102 million or 27% margin in the prior twelve-month period. Let's shift gears and take a look at our expectations for Q4 and the full year. Which to be clear, do not include any contribution associated with the Keryllium acquisition. Which is not yet closed. We anticipate our fourth-quarter ARR will grow sequentially in the mid-single digit. We've left our full-year outlook unchanged with a range of $460 million to $475 million. This reflects the traditional seasonality of our business in the second half of any year. Given the volume of expiring agreements, the overall strength of our pipeline, and the uncertain timing of the near-term spending by US federal agencies. We expect fourth-quarter revenue in the range of $123 million to $128 million. We expect our Q4 adjusted EBITDA in the range of $35 million to $38 million or approximately $28 million to $30 million on a margin basis. Looking to our full-year results, we've increased the midpoint of our revenue outlook and now anticipate 2025 revenue in the range of $470 to $475 million which represents growth of 17 to 18%. We have increased our full-year 2025 adjusted EBITDA range and now expect $124 million to $127 million or approximately 26 to 27% on a margin basis. And finally, I'd like to reiterate our view that 2025 will be an excellent year for free cash flow. Given the strong cash flow from operations year to date, and relatively minimal capital intensity, we expect the company's free cash flow margin will be approximately 30%. Before we move to Q and A, I wanted to share some perspective on our 2026 planning. As Tom noted, we have multiple growth vectors. We're also mindful of the challenges we experienced this year in regard to the timing and magnitude of spending. In the US federal customer segment. Thus, the initial 2026 outlook we will share in February will be prudent with a foundation grounded in the historic seasonality of our business, our RPO, our contractual backlog up for renewal, the expansion opportunity on those renewals, and the near-term opportunities to expand with existing customers on multiyear contracts. We will also apply the same methodology that delivered a high level of forecast accuracy. Last quarter. It's important to note we have multiple ways to grow free cash flow by approximately 20% with 2% dilution. This will allow us to be very thoughtful in terms of how we set our initial outlook. We are optimistic that we will be able to increase our outlook over the subsequent quarters as our team executes and captures the market opportunity in front of us. Let's take a quick look at the primary growth drivers across our platform that can serve as a foundation for an initial baseline target for healthy ARR growth. First, winning new logos and increasing price or mix on existing operators is expected to generate several percentage points of growth. Second, we see solid expansion ahead for Incyte, as we move into the home stretch. For upgrades, drive broader adoption, extending our reach into new user groups, and upsell advanced unlock solutions and automation offerings. We believe these dynamics should support growth of at least high single digits on a percentage basis in 2026. Our third growth driver involves Guardian and Pathfinder. The cornerstones of our digital investigation and analytics offerings. We anticipate healthy Guardian demand within our existing core markets, expansion into the US federal sector, Australia, and other select international markets, and sales of Guardian into the enterprise. In addition, we see further new business expansion combined with stronger renewal rates for Pathfinder. Success on these fronts is expected to contribute mid-single-digit percentage points of ARR growth. In addition, we are excited about the growth prospects for selling Keryllium solutions into our customer base across defense, intelligence, and enterprise verticals. Beyond the initial ARR gained from Keryllium once the transaction closes, anticipate an incremental contribution of at least a couple percentage points to our ARR growth rate. And finally, we remain optimistic about the steps we're taking to drive improved retention rates minimizing churn as we evolve our pricing and packaging centered on AI and cloud capabilities and attractive multiyear terms. In terms of 2026 revenue growth, we believe our revenue growth rate will slightly trail our ARR growth rate. This reflects the continued growth of our cloud-based solutions and assumptions for relatively flat nonrecurring hardware and professional services revenue. In terms of revenue seasonality, we have historically generated approximately 55% of our revenue in the second half of the year. From a profitability perspective, we plan to thoughtfully allocate capital support Cellebrite DI Ltd.'s ongoing expansion in 2026 and beyond. As a reminder, our EBITDA margin is lower in Q1, and steps up over the course of the year. Also expect our AI investments across go-to-market, product, and the G and A functions will lead to new levels of automation and scale in yielding moderate headcount expansion. This will produce operating leverage to drive incremental improvement in our adjusted EBITDA margin. And enabling us to maintain a 30% or greater free cash flow margin. In terms of our guidance philosophy going forward, we plan to set our 2026 outlook using tighter ranges supported by bottoms-up forecasting while continually assessing the full-year targets based on the most recent quarter's results and near-term visibility. We're excited about our prospects to drive durable, profitable growth and strong free cash flow next year. Finally, since joining Cellebrite DI Ltd., I've been very fortunate to spend a good deal of time with current and prospective shareholders. A frequent topic in recent engagements relates to the overhang associated with the Sun Corporation, our largest shareholder, who owns 40% of the company's shares. I've had an opportunity to spend time with some members of Sun's management, as well as some of their investors. Overall, I view these relationships as very positive. With that said, we are increasingly optimistic about opportunities that could emerge over the coming quarters and years. For Sun to reduce its stake in an organized, structured, and thoughtful way. That we believe will deliver value for shareholders of both Sun and Cellebrite DI Ltd. I'd like to close by reiterating our view that Cellebrite DI Ltd. remains well-positioned to deliver another year of healthy growth, strong profitability, and excellent free cash flow with a minimal amount of dilution to shareholders. Our team is focused on closing out the year on a strong note while also putting the plans in place that we believe will enable us to expand customer relationships and increase shareholder value in 2026. Operator, that concludes our prepared remarks. We're ready for Q and A.
Operator: The floor is now open for questions. At this time, if you have a question or comment, at any point your question is answered, you may remove yourself from the queue by pressing star two. Again, we ask that you pick up your handset when posing your questions. To provide optimal sound quality. Additionally, we do ask that you please limit yourself to one and one follow-up. Thank you. Our first question comes from Jeffrey Van Rhee with Craig Hallum. Your line is open. Please go ahead.
Jeffrey Van Rhee: Great. Thanks, guys. Congrats on a good quarter. And thanks for the color on the outlook. Two or three quick ones here, I could. Just, Tom, in terms of the path forward to cloud adoption over time as a percent of ARR, are there any internal goals or any thoughts you can give us on how you see that percentage of ARR that gonna be cloud evolving over the next, say, two, three years?
David Barter: Jeff. It's Dave. How are you doing? Thanks for the question. Jeff, we're continuing to work with our customers as they make their transition. We actually have customers that are 100% cloud. We have many that are in the hybrid stage, and then we certainly still have some making the transition. Right now, we just have a very proactive bent of working with our customers. Many of our, you know, our products, as you know, are already in the cloud, and everything new that we're doing is in the cloud. And so from that standpoint, it's an ongoing partnership as we support them and keep pressing forward with adoption.
Marcus Jewell: Yep. And on Corellium, you called it out as one of the three or four key growth drivers. I know you signed that new reseller relationship. Just any color in terms of what you saw both things you were able to get across the finish line and maybe more so what's building in the pipeline there?
David Barter: Yeah. Sure. Hi. It's Marcus. Marcus. Yeah. Look. We've got good initial momentum. We now have a significant pipeline, which we built, like an 8-figure pipeline. And that is spread equally across the cohorts that we said, which would be defense intelligence and the global 2,000. To date, we have processed two orders, and Q4, we expect to transact some more.
Thomas E. Hogan: Yeah. I changed up. To underscore caller. This is Tom. And I keep reminding people this business was roughly a $15 million ARR Carillon's core business. And I don't and I love you know, lots of numbers shouldn't be lost on people that the pipe we already see. As Marcus mentioned, is double-digit millions of achievable pipe. And so and that's before we've even closed the transaction. So you know, again, we just keep building more enthusiasm. And I also referenced, you know, we've uncovered use cases that we didn't necessarily anticipate or plan. You know, nine to twelve months ago when we started this conversation with Keryllium and so the you know, and I guess the positive is you know, the was there a modest contribution from reseller in the quarter? Yes. But it's you could argue it's almost immaterial. So we didn't hit these numbers on the back end of Keryllium back, you know, backdoor reseller stuff. So it was largely you know, a core Cellebrite DI Ltd. production. But the active and real, know, sort of TAM and pipeline is very encouraging. Yep. Got it. And then just lastly, as it relates to the 2026 plan, thanks for the insights on those four primary growth drivers. Sort of just looking at the swag of the range that you gave there, sort of looks like 20%-ish. ARR, but just curious if you'd be willing to provide any bounds around that or any expanded insights just in terms of what you think about growth prospects for next year? Thanks.
Thomas E. Hogan: Yeah. I know it's tempting to answer that. Jeff, and we'd love to help help you out and throw you a number and a bone. And but we just we really want to reserve that until we close the year and put a bow around the opportunity. But what we are doing, which I think is atypical at this stage, at least historically for us, is we are sort of going public with a level of confidence that you will see an excel whatever the growth is this year, we do have confidence that that growth rate will accelerate in 2026. We're just not prepared today to put a number on it. That's what you'll get in February. But growth is going up. And that's against, by the way, you know, it also gets overlooked. You know, the law of big numbers, the denominator in the baseline has gone up this year. So we're gonna accelerate our growth against a bigger baseline. And but that's all we really are ready to share at this point.
Operator: Our next question comes from Brian Essex with JPMorgan. Please go ahead.
Brian Essex: Hi, good afternoon. Thank you for taking the question and congrats from me well on the solid results. Maybe to follow-up to Jeff's question to start, and then I have a follow-up. On Keryllium, Tom, I think you noted that you're addressing CFIUS issues in real time. How significant are those issues? And are there any contingency plans for a case where you might hit a roadblock there in terms of, you know, maybe tucking that into the Cellebrite DI Ltd. Federal business. Just wondering what that process looks like in what the risk is to close at this point.
Thomas E. Hogan: Yeah. You know, nothing's 100%, so I can't write a check that I can't cash on that front. But I would tell you if you put a gun to my head, you know, I'd say it's, you know, 98% odds that we'll get this done. And I think that will similar odds that we'll get it done this quarter, we're in the final stages. I will say there was more inspection than we anticipated combined with all the chaos in government, and the shutdown didn't help some of the case managers and people involved in just coordinating input across DOJ and DOD and all the people that care. Was a little bit tougher, given what's been happening the last six weeks. The other positive, if you're a full person, is if this stuff wasn't powerful and if it wasn't relevant to these agencies, they wouldn't care so much about making sure the IP was protected. So, you know, the bad news is they ran us through the ringer a little bit more than we expected, but it's because stuff really does matter to agencies that you care about that keep us safe. But we're you know, I hate using sports metaphors, but we're on the one-yard line. And we have high confidence that we'll push it over the line here in the next four to six weeks.
Brian Essex: Got it. That's super helpful. And then maybe just a follow-up on Cellebrite DI Ltd. Federal. Any sense of what the contribution was there in the quarter and progress there with regard to, like, building that out to better penetrate the federal vertical? I understand that shutdown's a headwind and but was we'd love a little bit of color around you know, where the efforts are focused there and how they're positioned to as you kind of, like, head into fiscal twenty-six?
Thomas E. Hogan: Yeah. The good news is just to you know, I know it's a lot of babble when we go through these scripts. But know, the first half was tough. We sorta held the line. It certainly didn't deliver the growth that we had historically, which is what you know, which was the headwind for our full year. And even better. It wasn't just growth. The good news is we got back in growth mode in Q3. We nailed a couple of very strategic clients, and I'll let Marcus add some color. Because I think it's fair to use those wins as sort of a proxy for product fit and momentum and trust in the US federal space. But, Marcus, why don't you add some color?
Marcus Jewell: Yeah. Sure. So it was actually a very strong quarter for federal, the team executed particularly well. I'll draw attention to a couple of deals that you guys know. These are all in the public domain. You don't have to search too hard to find the names, but I won't do them an injustice and talk about them specifically, but I'll talk about a large agency which does protection services, placed an in excess of $11 million order with us. Which was a big expansion on previous years, including some new products. And we're very confident that that was also a share-taking opportunity for us. And then another agency following up very is very well known in the market and protects a lot of us, We have our largest expansion year with them that we've ever had. So between 30-35% expansion on the base and then investigating new products. And interestingly, taking us for the first time into the cloud. So we talked about this cloud journey. We're now seeing federal customers be a lot more aggressive in the movement to the cloud. Which bodes exceptionally well for our ATO process with FedRAMP. Where we'll be taking advantage with the only cloud-enabled solution high in the market in the forensic segment. So good execution, and we feel a lot more to come. The other thing I would add before somebody asks is we've talked I think we talked in the last call about a very large client that we expected to renew in the '26. And we expected that renewal rate to go up significantly the numbers and performance in US Fed in the third quarter did not include any of that. So that is still in the hopper and still something that we expect to win and close in the '26. Which is material.
Operator: Our next question comes from Tomer Zilberman with Bank of America. Please go ahead.
Tomer Zilberman: Wanted to ask about federal and your thoughts around the performance of the quarter. Mostly wanting to ask you know, how do you differentiate the growth this quarter from potential budget flush as it was their fiscal year-end versus maybe the more secular underlying recovery that you're talking about? And then I have a follow-up.
Marcus Jewell: Yeah. I mean, you know, budget flush is a thing, but, I mean, remember, we're on the mission side. So, you know, the products that we have have to be used. And we're not, like, we're not selling licenses for word processors, so we don't really, unfortunately, see budget because we're mission-critical and we're program-driven. So I would like to think it's down to solid execution and a good product market fit. Has driven all of our gains in that sector. We didn't really see because of the shutdowns and slowdowns normal, what we call UFIRS, which I'm sure you're familiar with the unidentified funding requests. They were not a part of it. They were just solid execution into three or four of our key clients.
Tomer Zilberman: Got it. Got it. As a follow-up for Dave, I appreciate your commentary around your discussions with Suncor. Know, it's been an ongoing conversation the last few years. Just wanted to ask, as you speak with the other side, have you gauged any sense of urgency in terms of where that goes, or do you foresee this being a long-term kind of trend?
David Barter: I don't see urgency. I think going back to my prepared remarks, I see them being very organized, structured, thoughtful. Obviously, Sun Corporation owned 100%. It's come down over 55%, and so I think it is you'll find them again, measured and thoughtful. And rational. And, and I think that's you know, what we're hoping to communicate to everybody.
Thomas E. Hogan: Yeah. We I mean, obviously, that stuff that we don't have full control or you could argue even limited control over. But you know, the devil's in the details of your question when you say long term. Are you you know, is your expectation, the question about a sell-down over five years or over know, five months or but you know, I think to Dave's point, you know, they've been pecking away for years. Our guess is they'll continue to peck away, and it and and I don't since I don't have control or insight to specifics, but I would expect to see my guess is you'll see some more sell-down over the more the nearer future than, say, a five-year horizon.
Operator: Our next question comes from Louis De Palma with William Blair. Please go ahead.
Louis De Palma: Tom, David, Marcus, and Andrew, congrats on the EBITDA guidance raise.
Thomas E. Hogan: Thank you.
Louis De Palma: How should investors view the positioning of Guardian Investigate relative to Pathfinder? And are you still working on a SaaS version of Pathfinder?
Thomas E. Hogan: Yep. Great question. It's really a good question. Because it's really important to our value prop and our strategies as we go forward. Pathfinder will persist. Think of Pathfinder as either on-prem or VPC-based analytic engine. That is optimized for processing correlations and analytics and insights when you have multiple phones and the data sources we control. Now fast forward to Guardian Investigate. Which is an evolution from a lot of capability around the examiner forensics into the world of the detective and the investigator to provide very not only robust case management capability, but also the ingestion and the ability to drive work streams and collaboration across a broad range of different data sources, some of which we control and we create, and some of which are created by other vendors in the ecosystem. And then complement that Guardian Investigate with a cloud-based that's contrasted with Pathfinder as a VPC product, a cloud-based very intensely AI-enabled analytic engine that can now prosecute and interrogate all the data that we surface, that sits in Guardian Investigate and the data that we're able to pull in and combine with to drive what we think would be the most insightful analytic engine in the world of investigations.
Marcus Jewell: Yeah. And I can I'll follow on from Tom there and add that the way the simple way to think about it is Pathfinder is from multiple extractions of multiple phones into the hundreds. Whereas when you look and investigate, that is a multiple data source. So you actually need the horsepower and the number of our customers answered the question on cloud or on-prem the nature of what they do with multiple phone extractions in the hundreds or dozens or even thousands they need that on-prem power, they wanna be off the cloud to do it. So there is going to be two variants. One is going to be cloud-based, one is going to be on-prem. And the two actually need to work with each other and that they are not duplicative and or replace each other at all.
Louis De Palma: That makes sense. So there likely will be customers that subscribe to both Pathfinder and Guardian Investigate. Right?
Marcus Jewell: 100%. I mean, Guardian Investigate is actually one of the industry's first forays into multi-data source. For instance, being able to ingest CDR records with and then cross-reference those to the cell phone is very powerful. And so that will be a functionality that would be pervasive within Investigate. And would be additive to the deep work that we do in the cell phone extraction on Pathfinder. They're completely competitive.
Operator: Our next question comes from Bhavin Shah with Deutsche Bank. Please go ahead.
Bhavin Shah: Great. Congrats from me as well, and thanks for taking my questions. I guess first just maybe a little bit on the defense and intelligence kind of vertical. Can you just talk about the pipeline there? And how maybe how the go-to-market strategy and the sales cycles for this vertical compare to your core kind of buyers buying centers?
Marcus Jewell: Yeah. So, great, great question. Obviously, defense and intelligence has been strong for a number of years in The US. The US previous in previous regimes was kind of policing the world in a number of areas. What we've now seen is some threats coming in from from all over the world particularly in in Eastern Europe, as as you know. We're seeing the NATO spend increase to the 2% commitment, and that is driving you know, warfare is now not only physical. It's it's it's predominantly digital. So what we're now seeing is in Europe, I take this this pipeline in Q4, my top four largest deals will actually all be defense and intelligence out of Europe. What we've now done is we are collaborating across all of my regions. We have a new single leader that we'll be appointing for DNI to actually drive that strategy forward. And we're very happy with where we are and where we're being brought into it. Our accreditations in that space are second to none. The fact that we have ATO and heading to FedRAMP High puts us at a completely different level to the competition. We have a number of people that are ex I won't say both Rx, but let's say they did things in the military which kept us safe. And they are very well connected. And we are we are exceptionally grateful to the customers giving us a shot there, and we're very excited about the potential that we have on a global basis.
Bhavin Shah: That's very helpful there. And maybe just as a follow-up for David, you talked about the EBITDA strength. And in your prepared remarks, you kind of noted disciplined hiring. How much of that maybe lower than expected hiring is a function of volatility in the federal business versus kind of efficiencies you might be getting from GenAI or other areas. Then as you talk about targeting accelerating ARR growth next year, how does hiring play a role there?
David Barter: That's a great question. Right now, I think we are the disciplined hiring, I think, from a capital allocation, really, we think about what's going into product. You heard about investigate. You've heard about just the other AI initiatives that are going across all products. And those are prioritized and that's what we're going after. We have a very detailed go-to-market model with Marcus that we run. So I'd say our I think we have our hiring model. I think we have our AI initiative. That are driving efficiency across our business. And I guess that is the discipline framework that we use to guide how we're doing. And so I think we have a long-term orientation around our business, around how to capture and fulfill long-range model, and that kind of work works its way back into our hiring decisions.
Thomas E. Hogan: Yeah. I would add that our ramp of headcount growth has been on a steady decline. The last three years because of improved efficiencies and much of which is AI-enabled, and that will continue in 2026. And I would tell you that of the modest growth, roughly half of it is going into our go-to-market organization so that Marcus can respond to interest levels and opportunities across you know, both the public and private sector around the world. So, but it's a healthy story.
Marcus Jewell: Yeah. We're able to express in sales an increase in quota carrier ratios to the back-office functionality that you see in the go-to-market line. So we're always increasing that ratio of actual people to deal with customers away from back office. And we see that there to continue for a sustainable amount of time.
Operator: Our next question comes from Shaul Eyal with TD Cowen. Please go ahead.
Shaul Eyal: Thank you. Good afternoon, and congrats on a strong set of results and outperformance. My question is on the competitive landscape. So Cellebrite DI Ltd. operates in a market being characterized by high barriers of entry. What can you tell us on the current competitive landscape? And are you seeing have you seen any newcomers, into new adjacencies in the current market? Thank you.
Thomas E. Hogan: Yeah. I'll take that one. First to get to the end of your question, there's no to your point about barriers to entry, that's a very real observation. And as a result, you know, we would not be able to call out or point to any there's always start-ups and pop-ups in every industry, but there's no material new entrants from a competitive perspective. So we continue to see the same people. We have good we respect our competitors. They're good companies, but I gotta tell you, we sorta like our hand in how we stack up right now. And as some of the things I alluded to sorta hit the shores over the next ninety days, our view is that our competitive positioning is going to increase very quickly. So same competitors, good companies, but like where we sit.
Marcus Jewell: Yeah. I'll add. You know, we feel very comfortable. Again, we have some strong competitors. We respect them a lot. But as I said, I think with Tom, we agree we have a winning hand here. I would say that what we do have is the ability to manage and the workflows and the data, puts us in prime position. There are a number of AI entrants. If anyone went to IACP, you would see them. But for me, open up not only potentially partnership but M and A opportunities, for us, but again, we back our own AI ability to understand. It's a difficult industry to break into from just customer intimacy. And also from understanding the sensitivity of the data. It's not it's very hard to trust people that are coming in with a new AI algorithm written in VibeCode that he thinks is gonna take it apart. That's not what our customer base is gonna do. And so we're comfortable with our position to expand it. Yeah.
Thomas E. Hogan: And that's a double pile on, but given the sensitivity of what we do, who we help, and what their mission is, the brand and the track record and the proven capability of the limited vendors in this space are a big deal. This isn't some back-office trivial thing that people are willing to take flyers on. It's important to them that they deal with people they have dealt with for twenty years that have delivered, that are focused and committed to the space and that they trust.
Marcus Jewell: It's hard to outsell when it's called to celebrate rapport. When they go to court. And they say, I've celebrated a phone, that's very hard to undo. That's become, you know, in the mindset of our customers over a number of years.
Operator: Our next question comes from Mike Cikos with Needham. Please go ahead.
Mike Cikos: Great. Thanks for taking the questions here guys to help. Echo my congratulations on the strong results, the reiterated ARR guide and then the confidence that you guys are imputing as far as that top-line reacceleration for the year. So congrats on that. I just wanted to unpack a couple of items here. But great to see that US Federal returned to this growth dynamic. I don't wanna be dismissive I believe you guys called it out a couple of times in the prepared remarks. But the strength that you saw out of US State And Local As Well As Latin America. Can you kinda unpack that a bit more as far as what you saw from those two segments, the durability of growth from where we stand here and maybe potentially size up what the contribution was if we're trying to stack rank drivers of outperformance. Sorry. Know a lot to unpack, but again, it was a solid quarter for execution, and I just wanted to highlight that.
Marcus Jewell: Yeah. Sure. Sure. Great question. And my SLG leader will be she'll be very thankful that you're giving us some props because they continue to execute consistently and to a certain extent is a gift that keeps giving. So what are the drivers? You know, the crime type in The US, continues to be digitally driven. So what I mean by that is there are a number of cases and investigations that require the unpacking of phones. Most agencies we sell to still have a backlog of cases and a backlog of phones, and that means that our driver is not limited by that. Now, unfortunately, that's crime, but that is what we need. That is what we see. There is no end in sight. We also saw even through the shutdown, grant budgets were available. So the government was actually working hard to get the grants out because these grants matter. Because they know that a number of people rely on them to meet their objectives in case reduction and solving crimes. So that was the driver there. And there's no end in sight. We're very comfortable with our competitive position there. I've got a good team. And Nicole and team continue to execute exceptionally well. So thank you to her and Zach for what they do. LATAM is great. I mean, LATAM is the is an example of again, high crime units, very well connected at a national level, a solid team which works very well with partners and sell the end-to-end solution. So if you looked at the perfect way to execute, then my goal as a CRO is to get everyone to be in the same boat as Latam with our end-to-end solution. They truly believe in the C2C and deliver the C2C, the case to closure, and execute incredibly well. We are also very well collected politically. With a number of senior sellers that have been in that region for a number of years. Is actually very hard to compete against. So two great teams, and thank you for reflecting that, but we don't see their growth rate slowing.
Operator: Our next question comes from Eric Martinuzzi with Lake Street. Please go ahead.
Eric Martinuzzi: My question has to do with the use of cash. You finished the quarter real strong. The cash balance, it's close to $600 million. Now I know you've got a check to write when Keryllium closes.
Thomas E. Hogan: 179, but still, we'll leave you with a substantial balance here. Just curious to know your priorities as far as internally focused, maybe more m and a. What's the use of cash? Post parelium? I'll let Dave take a first pass at this, and then I might jump in and add color. But, Dave, why don't you take it?
David Barter: But, yeah, let me maybe just round out one data point. So, currently, you're right. That will be a significant piece of cash when that closes, which works incredibly excited about, but that's a $150 million, not a $170 million. And so I think when we look at it, you know, again, looking forward to getting them on board. Obviously, we'll continue to invest. And so you're right. Over call it, two quarters of the normal OpEx cash that we would be we would keep. So call it a $150 to a $160 million. We are maintaining a little bit of surplus cash. You know, we do look at this as a pretty interesting opportunity both in terms of companies like Keryllium that are rapidly scaling. We also see some other adjacencies, and so I think we're gonna continue to maintain some flexibility so we continue to grow the business.
Operator: Our next question comes from Jonathan Ho with William Blair. Please go ahead.
Jonathan Ho: Hi. Let me echo my congratulations as well. You know, with your insights conversions ahead of schedule, you know, what does that mean for you from a future ARR and upsell perspective particularly if these customers fully utilize the suite and maybe start to renew.
Marcus Jewell: Yeah. It's a great question. I mean, it means that we are expanding our cross-sale opportunity. The important thing for Incyte Incyte was the first position to allow us to get to our case to closure, which then means storing and then analyzing and workflowing the data. So most of our customers wanted to get the initial work done to get onto a much more modernized extraction and review technology, which they now have. So we now see the expansion potential going across into our Guardian and our Pathfinder platform. But it does also open up in the DNI, and this is why DNI is such a key part for us. Where Insight is fully not fully tapped. And we do see with our triage functionality, working in the field in different use cases, a TAM expansion for insights into the DNI on a global basis. So we've got a nice vector to continue. We're not through the base yet. We still got work to do. In 2026, and then we'll be moving in. And we already have thoughts about our next version of Insights clearly, which is going to be moving decoding into a different format to enable our customers to do even more even quicker and increase their productivity again. So, in the end, it's part of the journey and there will be a ton of insights coming along at some point.
Thomas E. Hogan: Yeah. And the other thing I would add to that, it's not very sexy, but unit growth. I mean, those macros I talked about, almost any agency you go talk to today, they've got huge case backlogs. And crime, unfortunately, for all of us, as I said, it ain't going away. And the use of digital was in the 90% range. It's eventually gonna be pushing a hundred. And so, you know, there's unit growth opportunity in even where we've migrated people to Incyte, you have pricing power, have unit growth, plus all the cross-sell plus the acquisitions plus plus plus. So you know, there you know, and not all fuels and contributes to you know, the optimism, I think, you're hearing about our opportunity to maintain our growth and to accelerate it actually into 2026. There's also one thing if I could pile in on this. We're breaking the link between the number of operators and the number of licenses. I mean, previously, there was it was an operator could only extract so many phones. Our automation and workflow tools allow that process to be automated. And so the actual number of licenses per user can increase pretty dramatically and start eating into those backlogs. As we get into 26. 20 It. And I know we're at the end here, but the other thing that creates an opportunity that we don't talk a lot about is the, at least, the cloud and storage economics around Guardian is we collect more and more petabytes of information, assuming that we thoughtfully price and package that offering, that becomes another ramp of growth of profitable growth for the company that did not exist know, a few years ago.
Operator: This concludes the Q and A portion of today's call. I would now like to turn the floor over to Andrew Kramer, for additional or closing remarks.
Andrew Kramer: Thank you very much. Angela, and thank you very much to our analysts and our shareholders prospective shareholders for their participation today. If you do have questions, feel free to reach out to Investor Relations. There are a number of virtual and in-person engagements that we have scheduled over the coming weeks. And we look forward to speaking with you at that time. You very much.
Operator: Thank you. This concludes today's Cellebrite DI Ltd. Third Quarter 2025 Financial Results Conference Call. Please disconnect your line at this time, and have a wonderful day.